Operator: All participants please standby, your conference is now ready to begin. Good morning, ladies and gentlemen. And welcome to the Chartwell Retirement Residences Q2 2022 Financial Results Conference Call. I would now like to turn the meeting over to the CEO, Vlad Volodarski. Please go ahead.
Vlad Volodarski: Thank you, Paul. Good morning and thank you for joining us today. There is a slide presentation to accompany this conference call available on our website at chartwell.com under the Investor Relations tab. Joining me are Karen Sullivan, President and Chief Operating Officer; Sheri Harris, Chief Financial Officer; and Jonathan Boulakia, our Chief Investment and Chief Legal Officer. Before I begin, I direct you to the cautionary statements on slide two, because during this call, we will make statements containing forward-looking information and non-GAAP and other financial measures. Our MD&A and other securities filings contain information about the assumptions, risks and uncertainties inherent in such forward-looking statements and details of such non-GAAP and other financial measures. More specifically, I direct you to the disclosures in our 2021 MD&A under the heading Outlook and COVID-19 business impact and related risks, and in our Q1 and Q2 2022 MD&As under the heading Outlook for a Discussion of Risks and Uncertainties related to the Pandemic and its ongoing effect on our business. These documents can be found on our website or at sedar.com. Turning to slide three. Our teams delivered some encouraging operating results in Q2 2022. Throughout the quarter, our leading sales indicators, website traffic, initial contact and signed leases have reached the highest levels in the last two years and we are at or above the pre-pandemic levels. We were also pleased to see 100 basis points occupancy growth in May, June and July, which exceeded our previous forecasts. The seventh wave of the pandemic, which began in mid-June, hampered our recovery efforts, with the increasing number of outbreaks in our homes and the resulting slowdown in our leading indicators in July and August to-date. Having said that, most outbreaks have been impacting only a small number of residents and/or staff, the majority of those infected have had only mild to moderate symptoms and recovered quickly. In recent weeks, the outbreak trends have been improving as the number of the affected residents has begun to decline.  Our teams are fully focused on accelerating the recovery and improving our financial results. We have been making progress in enhancing the agility of our operating platform and increasing the speed of execution of our initiatives. From locally focused marketing programs to grassroots, business development activities, the creation of specialized teams focusing on repositioning properties, to new and faster ways of delivering corporate support services to the field, these initiatives once fully implemented will not only support our recovery but help us successfully grow for the years to come. Turning to slide four, every year we ask our employees about their experience working at Chartwell. The Annual Employee Engagement survey is conducted by the U.S.-based sell-side surveys, a company specializing in the senior living sector. The score is determined by an average of strongly agree responses to 25 core statements, covering various aspects of employee experience at Chartwell. In addition, for the second year in a row, we included statements related to our diversity and inclusion initiatives. The 2022 results are in our combined portfolio score is 48%, with retirement operations reaching 49%, compared to the previous yearâs scores of 43% and retirement operations score of 44%. We are clearly making progress towards our 2025 target of 55% highly engaged employees. And combining strongly agree and agree, responses are 2022 score is 81%, also higher than in prior years. Importantly, our employees are telling us that they are seeing progress in our diversity and inclusion initiatives, with strongly agree scores increasing from 41% in 2021 to 49% in 2022 and reaching 52% in our retirement operations. We are fortunate to have exceptional people working in our residences and offices. Despite the ongoing pressures of the pandemic and staffing challenges, our people continue to rise above and deliver exceptional personalized experiences to our residents, giving peace of mind to their loved ones and supporting their fellow coworkers. Their high level of engagement in this difficult environment speaks volumes about the kind of people who choose to work at Chartwell and about our culture. We believe highly engaged employees will deliver exceptional personalized experiences resulting in high satisfaction rates, which in turn would drive higher resident referrals and contribute to higher occupancies. On that note, I will turn the call over to Karen to provide her operational update. Karen?
Karen Sullivan: Thanks, Vlad. Turning to slide five, as Vlad said, in Q2 all of our leading sales indicators, initial contacts, personalized tours, from net move-ins to signed leases improved and we are at the highest level since the beginning of the pandemic. In fact, initial contacts improved move-ins Q2 returned to the same levels as Q2 2019. Although, these leading indicators have been somewhat impacted in July and August due to the seventh wave of the pandemic, we have seen a significant decrease in the number of outbreaks in our residences over the past two weeks, which combined with the end of the typically slower summer sales season should result in improvements to sales KPIs and occupancy in the fall. Even with the seventh wave, the easing of restrictions remained in place in the broader community and in our homes and residences, and this combined with the milder symptoms for residents and staff and the shorter duration of outbreaks allowed our homes to have a more normal routine than in earlier on in the pandemic. Depending on the severity of an outbreak, which in some cases only affected a small number of staff or residents or a specific floor or unit, we have been able in some homes to continue to have residents eat in the dining room, enjoy activities and visit some loved ones and continue to have prospects in for personalized tours. These smaller outbreaks are due in large part to the high vaccination rates of our residents, including third and fourth booster shots and our mandatory vaccination policy for our staff. As shown on slide six, our marketing initiatives in Q2 and for the remainder of the year have shifted towards more regional and local activation strategies including print ads and direct mail, and billboard and digital ads. We have specific move-in offers in select homes beginning in August for those residents who move in this fall. We also have a number of open house days planned between September 15th and 18th in all of our retirement residences across the country. Our business development managers continue to build a strong pipeline of initial contacts resulting in permanent move-ins. They are particularly focused on more immediate and searching prospects including building relationships with hospital discharge planners. The team also provides valuable work driving our brand and reputation at community events and conferences and presented the benefits of retirement living at numerous events in Q2 attended by financial brokers, older planning counselors, real estate agents, family physicians and jury attrition. Finally, turning to slide seven, the operations, talent acquisition, and HR teams are working together to reduce turnover, decrease agency use and improve recruitment outcomes. This includes continuing with our staffing optimization project to create master schedules with more full-time positions and the ability to better align staffing levels to occupancy, care and service levels. We are also piloting shift vacancy fulfillment software, which is already in place in our Long Term Care homes in select retirement residences, as well as video interviewing software that will improve speed to hire. In addition, we have recently made updates and improvements to our careers website and hosted a number of successful jobs there. We have also added recruiters to assist our homes in reviewing resonates and doing the first round interviews for frontline staff in homes with high vacancy -- staff vacancy rates. We are also focused on ensuring that we capitalize on the agility that has been necessary to get us through the pandemic, by ensuring that our operational, organizational structure, our strategies, and our decision-making are nimble and responsive to the various stages of our recovery. Most recently, this included changes to our in-place rate increases to address inflationary and pandemic expense pressures, as well as the creation of a specialized team in Ontario to focus on select residences with specific repositioning opportunities. And finally, our Ontario Long Term Care team is working closely with AgeCareâs senior team on transition activities in light of the upcoming sale of our owned and managed LTC homes. The team has also been busy putting all of the necessary changes in place to policies and processes in light of the new fixing Long Term Care Act and Regulations that was passed earlier this spring. They also successfully completed the installation of government-funded air conditioning units in all of our resident rooms by the required deadline. I would now like to turn it over to Sheri to discuss our financial results.
Sheri Harris: Thank you, Karen. As shown on slide eight, in Q2 2022 net income of $1.9 million, compared to a net loss of $4.6 million in Q2 2021. For Q2 2022, FFO from continuing operations was $25.7 million or $0.11 per unit compared to $30.7 million or $0.14 per unit in Q2 2021. Total FFO was $30.4 million or $0.13 per unit for Q2 2022, compared to $34.8 million or $0.16 per unit in Q2 2021. The decrease in total FFO per unit compared to Q2 2022 is primarily due to higher net pandemic expenses in our same property retirement operations of $5.1 million, net expenses in Q2 2022 were $2 million compared to net recoveries of $3.1 million in Q2 2021. In addition, we experienced higher direct operating expenses in respect of agency and staffing, utilities, food and supplies costs. Our G&A expenses were also higher by $3 million as a result of increased cloud-based information technology system implementation, higher severance, education and travel expenses, and lower government subsidies. Long Term Care discontinued operations contributed $0.02 per unit to total FFO for Q2 2022, flat compared to Q2 2021. Slide nine summarizes our same property operating platforms results. Our same-property adjusted NOI decreased by $4.3 million or 7.5% in Q2 2022, compared to Q2 2021 primarily due to the following factors. As I noted above, higher net pandemic expenses in our same property retirement operations were $5.1 million, higher agency staffing costs in our same property retirement residences as a result of staff shortages increased costs by approximately $2.5 million over and above agency-related pandemic expenses. In addition, we experienced higher utilities, food and supplies expenses. Revenue growth in our same property retirement operations was $4.6 million or 2.8% primarily due to higher revenue from regular, annual and market-based rental and service rate increases. Same property retirement occupancy was 76.4% for Q2 2022, compared to 76.8% for Q2 2021 or a decline of 0.4 percentage points. Our Western platform achieved strong growth of 3.6 percentage points. Ontario was flat and Quebec, which continued to decline through 2021, was a decrease of 3 percentage points. Compared to Q1 2022, same property retirement operations weighted average occupancy declined slightly in Q2 2022. All platforms achieved intra-quarter occupancy growth in Q2 2022 with growth from April to June of 1 percentage point. Our Long Term Care same property adjusted NOI was flat compared to Q2 2021. Our Long Term Care home occupancy based on total capacity of licensed beds was 74.4%, compared to 67.6% in Q2 2021, an increase of 6.8 percentage points. For Q2 2022, weighted average occupancy excluding the beds that are not available due to reduced capacity in three- and four-bed ward rooms and rooms designated for isolation and cohorting was 97.5%. For Q2 2022, total Long Term Care adjusted NOI including our discontinued operations increased $0.7 million, primarily due to higher retirement and preferred accommodation revenues, as well as higher ancillary revenues. Turning to slide 10, you will see our monthly same property retirement occupancies. Same property occupancy increased to 77% or 0.6 percentage points in June 2022 and a further 0.1 percentage point gain in July 2022 to 77.1%. August and September 2022 occupancy based on known leases and notices on hand are forecasted to be lower than July 2022 by 0.3 percentage points. We have recently and continue to experience mid-month move-ins particularly in our Ontario platform. These mid-month move-ins are not accounted for in our forecast and may result in better than currently forecasted occupancy over the next two months. July 2022 same property retirement leasing activity and permanent move-ins were lower than in July 2021 by 12% and 4%, respectively, primarily due to the seventh wave of the pandemic, which as Karen and Vlad mentioned have been improving in the last number of weeks. In light of current inflationary conditions, beginning in August 2022, we are increasing our combined rental and service rate by 75 basis points on average higher than previously forecasted. Moving to slide 11, our trend on retirement operations net pandemic expenses had been improving significantly in the second half of 2021, even with significantly reduced government supports. Net pandemic expenses relate to temporary costs associated with restrictions or requirements imposed by public health authorities on residences with outbreaks. They result in additional staffing requirements, particularly needing agency staff where we are already short staffed and additional PPE costs. Through the course of the pandemic, these expenses have ranged from a peak of $5 million per month in the early days of the pandemic to $0.9 million per month in the fall of 2021, prior to the Omicron-driven pandemic wave. Currently, these expenses are trending at $1.5 million per month and we estimate that for Q3 2022, our pandemic expenses could range from $3 million to $6 million for the quarter. As Karen outlined in her remarks, we continue to focus on reducing our reliance on agencies and are implementing our staffing optimization project, have numerous recruitment initiatives and are implementing new technology solutions. Our 2022 outlook included in our 2021 MD&A expected that G&A excluding information systems technology costs would increase approximately 5% from 2021 levels, as some of our 2021 costs were offset by government subsidies. In addition, we expected additional G&A costs related to information technology system implementations in 2022 to be approximately $4 million to $7 million. Previously, the majority of our IT systems cost were largely capital in nature. With the ongoing pandemic related outbreaks, our focus continues to be on ensuring appropriate support to our residences, and as a result, several new technology initiatives continue to be deferred and were scaled back. In addition, we are implementing further cost savings opportunities to streamline our support to our residences. We expect that G&A for Q3 2022 and Q4 2022 will be approximately $11 million per quarter. Turning to slide 12, our mortgage maturities remain well staggered with an average term to maturity of 5.8 years at June 30, 2022. At June 30th, we had $148.3 million in remaining mortgage maturities in 2022, subsequent to June 30, 2022, we refinanced $106 million of these maturities with CMHC insured debt bearing interest of 4.29% and a weighted average term to maturity of 10 years. In addition, subsequent to June 30, 2022, we repaid $11.7 million of these maturities with our credit facilities and as of August 11, 2022, the remaining mortgage maturities of $30.6 million are expected to be refinanced in the normal course. Current 10-year CMHC mortgage insured rates are estimated approximately 3.75% and five-year conventional mortgage financing is currently available at 4.9%. As at August 11, 2022 liquidity amounted to $205.1 million, which included $13.7 million of cash and cash equivalents and $174.4 million of borrowing capacity on our credit facilities. In addition, our share of cash and cash equivalents held in our equity accounted JVs was $9.3 million. At August 11, 2022, our unencumbered assets had a value of approximately $1.1 billion. Our ratio of unencumbered assets and unsecured indebtedness was 2.2 times at August 11, 2022. I will now turn the call back to Vlad to wrap up.
Vlad Volodarski: Thank you, Sheri. To summarize Q2 we saw some very encouraging positive trends in leasing -- leading sales indicators and occupancy. The seventh wave of the pandemic which impacted the pace of recovery this summer seems to begin to subside. We continue to be optimistic about the stronger fall leasing season. We have a lot of work to do to recover our occupancy and improve our financial results, and we are committed to getting it done. The steps that our teams are taking some of which Karen and Sheri shared with you today will not only support that recovery, but will provide a stronger foundation for future growth. That potential growth embedded in our portfolio is significant. As shown on slide 13, getting back to the pre-pandemic occupancy of 88.5% in our same property retirement portfolio is estimated to generate approximately $91 million of incremental NOI, with additional $71 million estimated to be generated over time from achieving our targeted 95% occupancy in our retirement portfolio. While we expect that we will be able to complement this embedded growth with new investments in acquisitions and development opportunities, our primary focus has been and will continue to be operating our existing portfolio to its full potential. This recovery in growth will be supported by the strong growth of the senior population, continuing shortage of Long Term Care beds, and in short-term, the slower pace of new developments. The rapid escalation of construction costs over the last several years means that new developments to be economically viable need to achieve accommodation and service rates significantly higher than current market rates. That means that as occupancy recovers, there is likely to be an opportunity for higher than historical growth in market rates for existing residences, 1 percentage point growth in our rent and service rate is estimated to generate nearly $9 million of additional revenue. In closing, Iâd like to thank our Chartwell employees in our residences and corporate offices for their dedication to our vision of making peopleâs lives better, for building on our great corporate culture and for their drive to improve our results and create sustainable value for all our stakeholders for many years to come. We would now be pleased to answer your questions. Paul?
Operator: Thank you very much.  The first question is from Jonathan Kelcher from TD Securities. Please go ahead. Your line is now open.
Jonathan Kelcher: Thanks. Good morning. First question just on your occupancy or vacancy, is it just concentrated in a few homes or markets, maybe give some color on why it seems to sort of be stuck in the high 70% range?
Sheri Harris: Sure. So occupancy is impacted by the composition of our portfolio and we have a higher concentration of properties in three exceptionally challenging markets due to current oversupply, so Ottawa, Calgary and Quebec City. We have over 20 properties with 3500 units with an average occupancy of just over 60% in those markets. Occupancy in the majority of our other markets are in at least the mid-80s. So these challenging markets are going to take longer to recover, but we are focused on implementing the targeted sales and marketing strategies and tactics that I talked about in my remarks and we believe will be successful in recovering occupancy over time.
Jonathan Kelcher: Okay. So they -- and I think you talked about starting to use incentives, would they be concentrated in those three markets?
Sheri Harris: More so, yes, for sure.
Jonathan Kelcher: And what are some examples of the types of incentives that you are implementing?
Sheri Harris: Thereâs a whole toolbox and it does depend on the location and what works and we try really hard to figure out what is meaningful to the resident or the prospect that sitting in front of us in terms of the discount, so the homes figure that out. We also have targeted about 50 homes to have a move-in incentive, if they move in this fall. So some of them are sort of more widely targeted, but filled with select group of homes and then some are just home by home.
Jonathan Kelcher: Okay. Thatâs helpful. And then just on the cost side, Q2, you obviously had a $5 million negative swing for COVID expenses. I mean if I look back to Q3 last year, it looks like the COVID expenses were just under $1 million and you are looking at 3 to 6 this quarter. If we eliminate all that, on a net basis, how should we think about cost growth or margins on an apples-to-apples basis?
Sheri Harris: Yeah. I mean, we are continuing to guide to on the labor side. In fact, we are looking at 3.5 to 4.25 in terms of increases. We are elevated from that right now with the agency cost that you see that $2.5 million brings us up more to the 6% range. And overall, we are seeing more inflation on food, we have a number of great initiatives that helped contain costs and maintain quality, which is very important to us. And CPI is ticking up and you would have seen that is in part why we put through on higher rate increases for the balance of the year.
Jonathan Kelcher: Okay. So it sounds like for Q3 on kind of apples-to-apples we should be looking at sort of 5% to 6% cost growth same property?
Sheri Harris: Outside of pandemic expenses.
Jonathan Kelcher: Yeah. Outside pandemic expenses. Sounds fair.
Sheri Harris: Sound fair.
Jonathan Kelcher: Okay. Thanks. I will turn it back.
Operator: Thank you. The next question is from Himanshu Gupta from Scotiabank. Please go ahead. Your line is open.
Himanshu Gupta: Thank you and good morning. So, just to follow-up on the occupancy discussion, your September month-on-month occupancy expectation is flat, month-over-month and then you highlighted three challenging markets really. So is September showing more recovery in other markets and these three markets are going to be down month-over-month or is it just flat across to board as well?
Vlad Volodarski: They may not be down. But, certainly, other markets are recovering faster than those three markets that Karen highlighted.
Himanshu Gupta: Okay. So you are still seeing some recovery in other markets, which are offset by some slowness in this market. And then, Vlad, I think, in the last conference call, you mentioned that you expect robust occupancy growth in the fall and here we are September is going to be flat here. So has that view changed or do you see a delayed recovery or delayed ramp-up now?
Vlad Volodarski: No. We are still optimistic about the full robust recovery. Clearly, itâs been delayed a bit with the seventh wave. As we mentioned, our leading indicators were trending at the record levels in Q2 and then July was down. We still think that this is just a short blip in the road, given the seventh wave, assuming we donât have more waves coming our way or impacting our residences as much. We still think that there is a good chance for a robust recovery in the fall.
Himanshu Gupta: Okay. And can you quantify or any direction what does robust would mean, I think, itâs going to be more like October, November now, like, any indications what that could look like?
Vlad Volodarski: I wonât be able to quantify that for you at the present time. I also would want to mention the flatness of occupancy for, I mean, some dip in August that we are forecasting and flatness in September, doesnât take into account the mid-month move-ins. If you go back through our forecast, we have historically been actually achieving a little bit higher occupancies than we are able to forecast based on known leases and notice is on hand, and that is because of this mid-month midst-driven move-ins and my expectation is that we will probably see similar trends in August and September.
Himanshu Gupta: Got it. Thank you. And then just one more, number of homes in outbreak, I think, still high or pretty high. Is that impacting move-ins or is it more of an expense issue rather than an occupancy issue there?
Karen Sullivan: Yeah. We are able to move people in during outbreaks, so.
Himanshu Gupta: Okay. So...
Karen Sullivan: â¦ depend on patients and it depends province-by-province thatâs reducing treatment, yeah, and some restrictions on tours in -- as the outbreaks have come down, we can see those leading indicators start to tick back up. Our sales data for this week looks very good and is returning back to sort of our June levels and above last year. And while our outbreaks were higher and had more properties with restrictions, they do come down.
Himanshu Gupta: Got it. Okay. So the lack of recovery is not a seventh wave issue, itâs more to do with those challenging markets and over supply problems in some of those markets. Okay. So thatâs fair enough.
Vlad Volodarski: I just wanted to clarify, Himanshu, I think, itâs a combination of the two, because we would have seen -- at least we would hope we would have seen a much faster recovery in healthier markets than what we have seen during this seventh wave. But three markets continue to be an issue, and as Karen pointed out, we continue to focus on implementing strategies and tactics to drive that recovery there as well.
Himanshu Gupta: Got it. Okay. And maybe one final question, net pandemic expenses very, very high and looks like Q3 is going to look like Q2 as well. What needs to happen before we donât see like $1.5 million run rate on those expenses? And probably the same question is for agency staffing as well like, what needs to happen to bring down those expenses on a monthly basis?
Sheri Harris: I think we are certainly managing those expenses very carefully and they do come down as we come out of the restrictions that are in place. The time it takes in terms of enhanced disinfection, trying to deliver meals to rooms, what happens when we have extending dining times, all of those things are -- possibly. And so I would sort of profile lows consistent with the level of outbreak activity. We, certainly, and are continuing to implement the strategies that Karen spoke about, which are the staffing optimization project and they have been very successful in those implementations. They do get slowed down by the volume of outbreaks, so we continue will move along that path.
Himanshu Gupta: Okay. Thank you and I will turn it back. Thank you, guys.
Operator: Thank you.  The next question is from Pammi Bir from RBC Capital Markets. Please go ahead. Your line is open.
Pammi Bir: Thanks. Good morning. Again, just maybe coming back to the challenges in the markets that you cited, I just wanted to clarify, is that a function of the types or the nature of those properties, maybe not been the right fit for those markets or is it over building? And then just the second piece of that question, is there new supply that you will see over the next, call it, 18 months or so in those specific markets?
Vlad Volodarski: So I will answer the last question first. New supply is limited, we are seeing maybe a few properties opening, but itâs not significant, nowhere near to what it was before. The answer to the first two questions is a combination of the two. The markets have always been competitive for a long time, have been competitive with a lot of supply coming in, some of our properties are not as competitive with that new supply as others, not all of them and the focus is also on those properties with the tactics and initiatives that Karen spoke about on how to position them best in those markets.
Pammi Bir: I guess maybe as an extension to that then, at some point, these do get to some stronger occupancy. Is there an expectation that you maybe recycle out of some of those assets?
Vlad Volodarski: Well, this is part of the ongoing process, Pammi, you have seen us disposing some of non-core properties over time. Some of them were in those markets and we continue to evaluate every property and every market on a regular basis to make exactly those decisions.
Pammi Bir: Got it. Just there were some comments made by some of your peers about preparation for what could be maybe worst flu season this fall or into maybe early winter. I realize itâs still early, but any thoughts on whether that maybe influencing your view on occupancy at all or is that -- have you -- is that being -- is that a risk at all that you see coming up?
Karen Sullivan: Well, I mean, we are doing everything we can to prepare for that, but including -- ensuring that our staffs are also vaccinated for the regular flu as well. So there are programs in place to do that. But we are obviously watching the statistics to see sort of whatâs occurring in other places and being as prepared as possible for that.
Pammi Bir: Got it. And just maybe coming back to the increase in your rent and service rate. Is that across the Board for all residents effective this month or does that kind of get spread over a period of time?
Karen Sullivan: Our increases go through on anniversary dates. So that will apply over time and for residents who are opting into the new services.
Pammi Bir: Okay. And then just coming back to your comments on the operating cost pressures, and clearly, will likely continue to persist. Just wondering whether there is room to maybe push a little bit harder on that in terms of passing through some large -- some larger piece of those costs or just -- maybe just tough to do that in this environment, just given the competitive dynamics in the markets you are in?
Vlad Volodarski: Yeah. This is a question of balance. We are always trying to balance the interest of our residents and our employees in our business and unitholders. And so our balanced decision at this point was to pass increases that we are passing. We think with these increases, we can return back to the pre-pandemic margins once the occupancy begins to recover and we will continue to watch inflation and increases in costs, as Sheri and Karen pointed out that, we have a number of initiatives that we are trying to manage the cost pressures internally and some of them are very successful. So, at this point of time, we feel comfortable with the increases that we put through.
Pammi Bir: Thanks very much, Vlad. I will turn it back.
Vlad Volodarski: Thanks.
Operator: Thank you. The next question is from Jack Stevalary  from CIBC. Please go ahead. Your line is open.
Unidentified Analyst: Thanks. Good morning. I just have two quick questions. So howâs touring activity trended over the past quarter and maybe compared to Q2 2021?
Karen Sullivan: Jack, how has tour activity?
Unidentified Analyst: Yeah. Trended over the past quarter, year-over-year comparison?
Karen Sullivan: Yeah. So July was softer than we would have seen in July of 2021. We are seeing that pickup in this last week in or the latest week in August, which is really good and the backup to some of the levels that we would had in June of this year and are exceeding the levels that we would have had in August of last year, in this last week and it really has been correlating with the level of outbreak activity that we see. So we think itâs positive for the fall trends. And we have seen through COVID that our sales cycle has shortened and that is sort of gives us some confidence coming into the fall with that uptick that we see when the homes come out of outbreaks.
Unidentified Analyst: Okay. Thanks. And my last question is, I guess, for the remainder of the year, how do you see rent rate growth trending and how do these fall incentives affect that at all if it is?
Vlad Volodarski: Jack, we didnât quite get that, the rent growth was the first part of the question?
Unidentified Analyst: Yeah. Sorry. How do you see rental rate growth trending for the remainder of the year and how -- you mentioned fall incentives, how do they affect that if at all?
Sheri Harris: Yeah. So far this year Q-over-Q in the second quarter, we would have been at 2.8% growth in revenue from rent and services. And while our occupancy was down a little bit just based on the mix of the portfolio, we were actually in dollars flat on occupancy year-over-year. So, certainly, with the additional rate increases that we are putting through on the go-forward anniversary dates and for new services, we will see that tick up cumulatively from where we are today through the coming quarters.
Unidentified Analyst: Okay. Thank you. I will turn it back.
Operator: Thank you. A new question just queued up. It is from Chris Koutsikaloudis from Canaccord Genuity. Please go ahead. Your line is open.
Chris Koutsikaloudis: Thanks. Good morning, everyone.
Vlad Volodarski: Good morning.
Chris Koutsikaloudis: Just one question for me here, wondering, to the extent a more material correction in home prices materializes, is there some concern there could be an erosion in demand for some of your properties, particularly on the independent living side as residents have potentially less of the saving cushion?
Vlad Volodarski: Yeah. Historically when we saw the corrections in the housing prices, it delays somewhat the sort of decision of some people to move-in, but generally, doesnât have a significant impact. What does impact at least historically had impact on occupancies was when there is very little sales happening in the market and we really have only experienced that in the U.S. when during the financial crisis there was a period of time when there was completely no housing sales and during that period of time, occupancy had declined significantly. They were also recovered very fast once the sales beginning to happen even though the prices were coming down back then. So thatâs our experience, the price does not really correlate significantly with occupancy might delay, a little bit the recovery, but if sales stop happening then it would impact.
Chris Koutsikaloudis: Perfect. Thanks for the color.
Vlad Volodarski: Thanks.
Operator: Thank you. We have another question now from Himanshu Gupta from Scotiabank. Please go ahead. Your line is open.
Himanshu Gupta: Thank you. Sorry. Just one follow-up, can you comment on the balance sheet here? I mean I see a large amount of that is coming up for renewal next year, so what are the thoughts there? And it looks like by the way the remaining expenses in 2022 are largely taken caring of, is that correct, Sheri?
Sheri Harris: Yeah. Yeah. They are well underway and we would have renewed most of what the remaining maturities were subsequent to June 30th. And so, certainly, there had been an increase in interest rates through the year, June and into July. They have come down in terms of the 10 years, but we are making sure that we continue on with our strategy of 10-year term to maturity and using CMHC debt wherever we can. Right now that represents 80% of our mortgage portfolio. So we expect those to renew in a normal course. We are certainly looking at the maturities the majority of them are in the end of 2023 and we are certainly looking to improving our earnings and EBITDA and continuing to ensure that we are moving forward in that direction.
Himanshu Gupta: Got it. And just a clarification, for the debenture which is coming up next year, can you replace that with CMHC insured debt or it has to be -- here you have to go back to secured market only to repay debt?
Sheri Harris: It wouldnât be replaced with CMHC debt, itâs due December 2023.
Himanshu Gupta: Okay. So we should have time. Okay. Fantastic. And last clarification question, I think, in your remarks, you mentioned that the rental rate increase is 0.75% higher than the previous forecast?
Sheri Harris: Correct.
Himanshu Gupta: What was the previous forecast?
Sheri Harris: The previous forecast, I think, your best estimate for that would be the rate increase that we have, that 2.8% kind of blended that we experienced in Q2 of 2022 compared to 2021. I think thatâs a good approach.
Himanshu Gupta: Okay. Okay. Thank you so much and I will turn it back.
Operator: Thank you. There are no further questions registered at this time. I would turn the call back to Mr. Volodarski.
Vlad Volodarski: Thank you very much for joining us today. If you have any other questions, please feel free to reach out to any one of us. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.